Operator: Good day, ladies and gentlemen, and welcome to the AngloGold Ashanti 2024 Q1 production update. [Operator Instructions] Please note that this call is being recorded.
 I would now like to turn the conference over to Stewart Bailey. Please go ahead, sir. 
Stewart Bailey: Thanks, Irene, and thanks, everybody, for joining us on our Q1 2024 production update. A couple of things. The first is the safe harbor statement, which contains important information on forward-looking statements and information. It's important, and I would urge you to read it when you have a minute.
 The second is just to recap that, given our new corporate structure and ahead of our voluntary conversion to domestic filer status in the U.S., we can only report on production and not financials or costs that held for the third quarter of last year and of course, for the first quarter of this year, as we've mentioned before, we will, and this is important to resume reporting full financial results for our half year reporting this year and then ongoing by quarter after that, in line with our North American peers. So this would be the last of these production only updates that you'll see before we switch to the full monty from half year and onwards.
 Without further ado, I will hand over to Alberto for the presentation, but also noting that members of our executive team are on the call to assist with questions after it. Alberto? 
Alberto Calderon: Thank you, Stewart. Good afternoon, and thank you for joining us for this first quarter production update. We've had a good start of the year with another strong safety result and a good overall performance from the portfolio. In fact, this is the strongest first quarter performance from our operating assets this decade. That's down to greater consistency from most of our operations. In Brazil, both sides have shown significantly better performance with greater production control, Geita and Kibali were strong again and Obuasi's ramp-up remain on track.
 We'll start where we always do with safety. We're proud of another strong performance as we work hard to keep our people safe in an often challenging operating environment. We continue to make steady progress on our journey to zero harm. Our total recordable injury frequency rate is well under half of the average to ICMM members. But we've never are complacent. In fact, we dedicate an increasing amount of time and resources to understanding the root cause of accidents and near misses in the workplace, and we realize we're only as good as our last injury-free day.
 Production was up 2% year-on-year to 581,000 ounces driven by strong performances from a number of our key assets and in spite of the one in a thousand year rainfall event in Western Australia. This event caused a reduction in output or more accurately a postponement of about 15,000 ounces of production in Q1. Were it not for that, production would have been up more than 4%. The big movers in the portfolio were Cuiaba plus 55%; Serra Grande, plus 40%; Kibali, plus 19%; and Geita plus 16%. There were offsets, and we'll talk more about that [indiscernible] in from Siguiri and obviously, from our Australian operations. Importantly, we're well on track to achieve guidance we set out in February of 2024.
 Most of our Tier 1 assets recorded a solid quarter starting with Geita, the production improvements was driven by higher volumes in grade. At Kibali, with a 19% gain, we saw increases in recovery grades and ore tonnes processed. The flooding at Tropicana interrupted power to the plant and cause mining to be suspended. I'll talk to the remedial steps there in a moment, but suffice to say production is back on track now that things have dried out.
 Moving to the other two miles. We continue to drive full asset potential initiatives to enhance asset performance, Cuiaba recorded a strong quarter, producing 44,000 ounces from concentrate and 21,000 ounces from the gravity circuit. The same weather system that hit Tropicana had a lesser impact on Sunrise Dam, which otherwise had a very solid performance.
 Siguiri production was hit by poor equipment availability and to a greater extent by a drop in metallurgical recoveries associated with highly carbonaceous ore from parts of Bidini pit. A new excavator and the decision to prioritize ore from alternative mining areas has held production bounce back after the quarter end with 22,000 ounces of attributable production in April. And across Serra Grande, we're very pleased to see the start of a turnaround with a 40% increase in production year-on-year.
 Obuasi, the V30 reamer continues to do exactly what we expected. To recap, we're establishing conventional stopes with a much wider reamer head, which is overcoming a lot of the challenges which we saw in Q3 of last year. We're seeing better results with ore tonnes up 16% year-on-year and at similar levels of Q4. Production was slightly lower than year-on-year, which was in line with our plan and down simply to the lower grade areas in the mine plan. The important thing is we continue to see production for the year between 275,000 and 320,000 ounces with a back-end loaded profile and H2-loaded profile. The real prize for us this year will be the higher grade Block 10, which is now being opened up and will be available to mine in the second half. This underpins our plan annualized 360,000 ounces in Q3, reaching that level in Q3.
 The underhand drift and fill trial is going well. This is the method that we'll use in very high-grade areas, which are increasingly associated with difficult ground conditions. We've mined and filled the first cup and tested the strength of the field from parallel drive, we're actually beginning this week to mine underneath that. We've also filled that parallel drive in a single pour with that field curing in 14 days.
 Next slide, Phase 3 is that refurbishment and return to service of the KMS shaft and associated infrastructure. This will provide direct access to the very high-grade Block 11 and other areas. It will double our current underground materials handling capacity to around 12,000 tonnes per day. If you look at the Red block on this slide, it shows a significant advantage, we'll have when we can move waste, ore and other materials down the shaft with no congestion rather than transporting it via 12-kilometer decline. The added flexibility will be a significant benefit. We estimate completion by about the end of this year.
 You will also note that this is important in the Orange outline Block 10, with grades around 8.3 grams per tonne, where we expect to roll out the underhand UHDF mining method, but also we expect to be reaching through conventional stoping in Q3 this Block 10.
 The next key project milestones include completing and commissioning the vent shaft rail system and new pump stations as well as ore passes between the upper mine and rail transport level. Good progress is being made to clear mud between 5,100 level and the shaft bottom.
 Brazil. Brazil has seen an enormous amount of work down over the past 9 months under the new leadership that we put in place. It is an extraordinary turnaround. We've done a root and branch clean up to the old structure, ensuring accountability is properly located. Waste is being stripped out and capital expenditures scrub. We've narrowed the focus of the team by placing the heavily loss-making CdS on care and maintenance last year. And the full potential program is working as designed.
 Cuiaba has bounced back strongly after switching to a concentrate operation last year. Grades are up, volumes are up, all that's helped us post a 55% increase in production. Importantly, planning is well advanced to restart the Queiroz plant, which will be another quantum leap in performance. Serra Grande has also come to the table with a 40% increase in production. The focus for us now will be to ensure that this trajectory can be maintained. You will recall this time last year, our group free cash flow was negative $161 million primarily driven by the challenges in our Brazil operations. We have seen a complete turnaround and look forward to sharing the financial results of this region when we report the half year in the coming months.
 We aren't, as we said, presenting full financials. But nevertheless, in a preview using the metric that we have heard has become very fashionable through some of our competitors' free cash flow before working capital it would be -- would have 3 digits in Q1, and it's going to be quite strong for the rest of the year. Also, after working capital, we also would have a positive free cash flow in the first quarter of the year.
 Slide 10, operational focus areas. Our focus on recovering from the challenges during the quarter. You can see from the picture here, the extent of the flooding that hit our operations during the quarter. 350 millimeters of rain or almost half the annual rainfall fell in under 3 days. Access to roads were out of action, power was interrupted and mining was suspended. Since then, remedial work to restart operations was successfully completed and mining and processing has since restarted. Whilst gold production was impacted in Q1 and consequently, for the first half, we expect to recover a significant portion of this production in the second half.
 I spoke about the challenges we saw at Siguiri in Q1, low digger availabilities and a big drop in recoverers. A new digger is being delivered to site and plant recovery have stabilized and improved back to normal levels. We've taken Bidini ore out of the plant pit and have replaced it with ore from a series of other pits. Thankfully, Siguiri less with multiple ore sources.
 In the meantime, our technical team is doing additional test work to improve the recoveries of the carbonaceous Bidini ore. So in sum, in Siguiri, we have the -- right now, the recoveries up to the mid-80s. We have moved to owner mining operated and now we have improve the availabilities. And hence, we're seeing -- we saw a very good month in April and seeing a very good month in May too.
 Nevada updates. Moving to the [ Nevada ], where the permitting this underway at North Bullfrog, we continue to anticipate the record of decision next year. In the meantime, detailed engineering is on track. We've started the PFS at expanded silicon, which is focused on the Merlin high-grade area with mining, processing and infrastructure trade-off studies. We are targeting completion in H2 of next year.
 As we've said before. The project team has also identified potential for some early cash generating potential in the Southern extent of the lease and is evaluating those. The sterling project is a small early-stage project that plans to reprocess 1.5 million tonnes of previously mined ore and mined 42 million total tonnes, 13.4 million ore tonnes using open-pit heap leach methods. The project would produce around 200,000 ounces at an all-in sustaining cost of $870 an ounce.
 There are existing permits in place that will be in modification, which will be the critical path for production. It is estimated to produce first gold in 2028. Currently, metallurgical test work is underway to control recovery and CapEx assumptions that we use. I look forward to giving you a further update on Nevada in August.
 In close, we remain focused on making more improvements and are delivering more consistent results in line with the targets that we have set out. We have achieved key milestones over this period, notwithstanding the challenges that we have faced. Brazil is well on its way to a stronger 2024 performance, almost and imagine more from where it was this time last year.
 [indiscernible] really have a robust plan that we're executing at Obuasi and expect Tropicana to achieve its production targets by year-end. Our Q1 assets are performing well with more improvements in the pipeline. We're optimizing our important Tier 2 mines. We're focused on improving operating and capital efficiencies, as we continue to improve our cost competitiveness.
 We are again on track to achieve our guidance in all metrics. And while this call is a production and operating update, we are confident in the delivery of our cash costs and our all-in sustaining, our asset cost at the lowest end of our full year guidance and we are ensuring that high gold practices flow through the free cash flow, net taxes and royalties.
 In other words, even though we are facing, like all of our competitors, around a 5% inflation, we have basically managed to compensate it almost completely with our full asset potential program. We have already seen the guidance of our competitors. If you remember 3 years ago on cash costs, we're about $300 an ounce away, and we set ourselves to target to narrow that to a 2-digit level. Well, if we deliver like we believe, to the lowest end of the guidance, we would be between $30 and $95 an ounce of the two largest gold companies in the world.
 More importantly, for 3 years in a row, we have met the guidance on production and cash cost, probably the only company. And that's how we have basically closed almost between 70% and 90% of the gap that we have. Thank you.
 We open to questions now. 
Operator: [Operator Instructions] The first question we have is from Josh Wolfson of RBC. 
Joshua Wolfson: On the financial statements, I think the release had said there wasn't a time line, but your commentary, Alberto at the beginning the call stated like maybe the third quarter is sort of the target for issuance of this. Is that what we should be thinking to? 
Alberto Calderon: So let me see if I understand your question. Yes, we will now for the second half and then -- from then all the quarters will be reporting full financials. 
Joshua Wolfson: Okay. Got it. And then for Obuasi, just to understand for the high-grade areas that are planned in the second half of the year, does this mining incorporate the planned cut and fill mine plan revisions? Or would this all be with the sort of traditional methods that are being new so far? 
Alberto Calderon: Accessing Block 10 will be for the traditional mining method. We will start accessing Block 8 and the next sort of part, we're still in trial mode on the underhand cut and fill will be on Block 8, but the Block 10 is for the traditional. And as I've said, it's working well. We are being able to, on average, keep the consistency of about 90,000 tonnes of ore per month and we -- that should go up the second -- probably in the second half of the year between 100,000 and 120,000. 
Joshua Wolfson: Okay. And the current schedule, when is block... 
Alberto Calderon: I am just asking Richard to give us some complements on something, on Obuasi. 
Richard Jordinson: No, that's right, Alberto. Yes, we're still in trial mode. And obviously, depending on the success, we'll be obviously transitioning across to move underhand cut and fillers after the trial, after we've assessed the results, yes. 
Joshua Wolfson: Got it. Okay. And then lastly, just looking at Merlin, following us sort of digesting the very significant resource that was issued earlier this year and then some of the technical information. The historical commentary from the company was something along the lines of 300,000 ounces combined from Nevada. I know there's no PFS out now, it's still going to be quite a while for that. But what's the current thinking for -- what the scale is of the opportunity at Merlin given some of the more positive updates there in terms of resource size. 
Alberto Calderon: Look, we try to not put out statements that are, let's say, not supported by our studies. It's obviously going to be much, much higher than 300,000. But we just need to complete the work and we will keep updating you. There are -- I have seen scenarios that are profitable, let's say, around 0.5 million a year. But let us just do the work. Every 3 months, we'll be updating you on how we're seeing things.
 What we know is, as you say, that it's a massive resource that it is even much larger than what we have stated up to now, we know that we have a long, long time of oxide gold that is, let's say, relatively easy to mine. And yes, so -- but the whole prefeasibility study goes into depth into what is the optimized capital expenditure. What is the type of mining that we want. Most probably the open-pit, but we need to consider all of the options. And then what is the optimal way of approaching the permit. So those are all complex things that we expect to have a very good idea at the end of this prefeasibility study. But it will be one of the Tier 1 probably lowest cost in the AngloGold portfolio. 
Operator: The next question we have is from Leroy Mnguni of HSBC. 
Leroy Mnguni: Alberto, thanks for the update and for the opportunity as well. I've got two questions. The first one is on the Tarkwa, Iduapriem merger, it certainly seems like a slam dunk for all parties involved. The government included, but yet it still kind of seems like it's experiencing some challenges there. I wonder if you could maybe give us some insights as to what are the issues, what's holding it up? And how long you think it would take to resolve some of those?
 And then just on Tropicana, you classified it as a Tier 1 asset. The costs are quite compelling, but it does have a short reserve life. I was wondering if you could maybe comment on how you see this fitting into your portfolio going forward? Is there a possibility that it may be classified as a non-core asset and if you would be interested in selling it at all? 
Alberto Calderon: Thank you, Leroy, those are good questions and are difficult to answer and I'll tell you why. On the Tarkwa, I'll echo the comments that Mike did about 2 days ago, I think we've made good progress in the last weeks with the government, and we're close, but we're not there yet. Probably one thing I will say is that even though it is good for all parties, it is a quite complex sort of negotiation. It produces the largest gold mine in Africa, but it has a lot of angles. And I can understand why it's not an easy negotiation for any party, but I can't really talk about details because you can't talk about details of negotiation that is ongoing.
 As I said, what I can say is that we have made progress and I want to thank there's a very constructive approach from the government officials, from the Minister whom I met, from the Head of the Minerals Commission and I hope to have probably more definite news in the next update. But so we're close, but we're not there yet, and that's how these things go.
 Tropicana, all of these mines have a very extensive exploration, brownfield exploration and that's how this goes, that you're always close to a fine sort of initially more blue sky and resource. And so we are in those plants, nothing to report right now. But at this stage, it's still in our Tier 1 assets, and we're very happy with it. Now we are not attached per se to anything, and we're always looking for value, but that is not the intention right now. Right now, we're focused on making the most out of our Australian assets and they're providing good cash flow. 
Operator: The next question we have is from Raj Ray of BMO Capital Markets. 
Raj Ray: I have three questions, I'll ask the first two and the last one is on Obuasi. So I'll keep that for later. First up on Brazil, Alberto, it's good to see the improvement at Brazil, 2 quarters in a row. How confident are you that you will be able to show consistent performance from here on? Are you there yet? Or is there still more work to be done. If you can specify some details there.
 Second, on Siguiri. If you can comment on what the recovery was for Q1. Now in 2020 and this would have been before your time, Alberto, the operation has a similar problem with carbonaceous ore and if I'm not wrong, there was a circuit modification that was put in to deal with the carbonaceous ore. So I'm a little bit surprised that probably recovery -- process recovery problem resurfaced at Siguiri.
 I'll ask the question on Obuasi later. 
Alberto Calderon: Look, Brazil, we're really happy with the turnaround and the team, which is new not only at the head of, Marcelo, of the Americas, but also the GM in Cuiaba and the GM in Serra Grande and our finance head and they're all really doing a very good job. You can see the Serra Grande 40% increase focusing on -- not only volume, but an ore but grade. So we are confident that we will meet our guidance for the year and the turnaround not only in production, but in financials is quite significant. And there's also been good progress, I have to say in Cuiaba, the relationship with the regulators. It has improved. We still have -- obviously, there's still things pending that I will not talk about.
 But for example, there was external tailing consultants came out with a revision of our tailings dam in Q1 of this year. And basically, we meet the what is called the post-liquefaction safety factors and therefore, no additional remedial measures are needed. And that report was issued to the National Mining Agency in accordance with Brazilian legislation. We'll see next steps. But what I'm trying to say is we make good progress not only on production, but also in the relations with the regulators and yes, Cuiaba is really solidified and strengthened its position in the portfolio of the company.
 In terms of Siguiri, I wasn't there, but there were people who were there who tell me, well, maybe someone will remember the issues. So yes, it is related, but it is different. One of the things that I have learning still on gold that is so different from all the other commodities that have operated is that it's so complex and the metallurgy sort of how you recover on the different ores is just -- so it's full of unexpected surprises. We thought in the Bidini ore that it was a special sort of have some special metallurgical characteristics that they turn out to be a bit more complex.
 We sent a team from the CTO's office, from the Chief Technology Officer. And I think that they made a good job. They know what the issue is. And the good thing, as I said in my presentation is that Siguiri now as opposed to 2020 has many options as multiple sort of sources of ore. So for now, we don't need that Bidini ore. And for now, I mean, probably for this year, but -- and then the team will be testing how to process that.
 I understand it's more an issue around oxygen that Bidini ore sucks out the oxygen. And so again, I understand that it won't be something that we can, with relatively low CapEx, managed. So the important thing is to reiterate at this stage, really, both communities, recoveries and availabilities are back to our plan.
 I don't know if Marcelo is on the call, [indiscernible], but if you want to add something, Marcelo. 
Marcelo Godoy: Yes, sure, Alberto. Look, there is one basic difference that we have here that you are seeing these carbonaceous ore in the transition zone. So what we are seeing here now is transition from oxide to sulfide. So we see more sulfuric ore, which is not something we saw back in 2021, but as Alberto said, the team has been on the ground. They are there right now and working closely with sites. And again, we are very likely to have other sources of ore, so we can keep the plant going. Thank you, Alberto. 
Raj Ray: Okay. That's great. And then one last question on Obuasi. So assuming the trial mining for underhand drift and fill is successful, and it looks like it's going well. What percentage of your stopes will require this? And then as you go down to Block 10, Alberto, you mentioned that it was going to be the sublevel open stoping that's -- that will be applicable there. But do you run into similar ground conditions in Block 10 as well? Has there been work done on that? When I say ground conditions, I'm taking about the graphitic shears. 
Alberto Calderon: Yes. Let me probably mention something that is important. We have found ground conditions similar to what we had in Q3. The issues that we have then is we were using a 250-millimeter reamer. And that sort of made the -- all the issues related to very difficult ground conditions even more difficult. So the V30, which is 3x as large, really has been a game changer with the existing mining method. And that's why we are keeping track of it, the amount of ore running around 90,000 and going to 100,000, which is critical, and we may be able to do that. So the underhand is an alternative mining method that we will be using, again, in a cost benefit analysis saying, okay, for this one, we believe the cost per ounce is going to be lower. It's not that we can't use -- the current method is that our cost per ounce or dilution in these very high grades will be lower.
 So at this stage, we don't have a percentage. It's going to be on -- and the other probably interesting thing is, in our forecast, we don't have any production from underhand cut and fill which we will have some ore. And as Richard said, it depends how the progress continues. It is a learning experience basically around the strength of the pace because we want to make sure that it's absolutely perfect, so you can go underneath from a safety perspective.
 But so in a long -- short answer is the current method is working fine. We're actually going to be using another one that is not the V30 but another one where that is used at Kibali, but similar in 750 millimeters, which I understand we will be able to grow much faster. So the current mining method is working fine. The underhand, it will -- if it works better, we'll use it more. If it works slower, we'll use it less. 
Operator: [Operator Instructions] The next question we have is from Tanya Jakusconek of Scotiabank. 
Tanya Jakusconek: I'm sorry, I just joined the call and there's another call at the same time as well. So if you've answered these questions, I really apologize for having to ask them again. Can I just, number one, start with just, again, following up on the -- your reporting under U.S. GAAP. I think you mentioned it's going to be second half of the year. So can I just confirm with you guys that Q2 will now only be a production number as well, and it will be Q3 onwards that you will be putting in detailed financial statements. Can I just confirm that? 
Alberto Calderon: It's -- from Q2 is full financials. So this is the last quarter where we don't report full financials. 
Tanya Jakusconek: Okay. And then with the full financials, can you just remind me, so once you file and report under U.S. GAAP. Can you just remind me of the indices movement so that I understand because there are obviously movement out of the emerging markets and adding to other indices as well. Can someone just walk me through the movement in the indices from the second half of 2024 into Q1 or the first half of '25, please? 
Alberto Calderon: So Stewart can help me on this, but I just want to clarify. So we are not moving in the second -- in Q2 to U.S. GAAP. We are reporting full financials and we have all of the reconciliations that we needed to do, which were issues that we had for this quarter and for Q3. We -- the requisites for reporting U.S. GAAP have not been triggered by the half -- of this year. But we will do it voluntarily, and we will update the market when we are ready. But the important thing is, one, we had 4 financials from Q2 onwards. Indexation, it's not only domestic filing, but there are a number of sort of issues that probably Stewart knows better than I that will trigger indexation. So maybe, Stewart. 
Stewart Bailey: Thanks, Alberto. So again, just to reiterate the point, IFRS financials going forward. And then the U.S. GAAP would be after we trigger domestic filing status in the U.S., and that will be at, there are a number of things that could do that if we don't voluntarily change first. So we'll provide an index update later on in the year as we see how the shareholder registered changes and as we progress towards that domestic filer status, Tanya. 
Tanya Jakusconek: Can you just then remind us what is -- what impact? I'm not asking for a number why the movement of shares? I'm just asking, you are going to be removed out of the Emerging Market Index, right? So that will happen sometime. And then you are going to be added to the Russell, the CRSP. Can you just remind me where are being removed and where are being added? 
Stewart Bailey: So Tanya, I would say that we wouldn't anticipate and again, this is not a commitment because the index providers will do what they will do ultimately. But we don't anticipate being removed from the Emerging Markets Index until we trigger domestic filing status. So those -- when that domestic filer status change happens is when we think the EM indices would look at us again. So nothing in the short to medium-term on the emerging market side, but we'll let you know when we make... 
Tanya Jakusconek: Okay. And then when you trigger to U.S. GAAP, what indices would you then be included in? 
Stewart Bailey: Well, again, no commitments on that side, but we would be targeting Russell 2000 and CRSP. 
Tanya Jakusconek: Okay. And then maybe just on an operational question, if I could move on to. Again, I missed the call, but wondered if you were more specific in -- you said your production guidance is intact. I don't know if your cost and capital are also intact as what you had said in February. And with this lower Q1, what does the year look like as we ramp up. Is it going to be a 45% first half, 55% second half. Can you someone just walk me through that? 
Alberto Calderon: What we said, Tanya, is that the or what I said was that the -- we are keeping production guidance. And I think at this point, it's I think I would target towards the middle point, let's say, of our production guidance. So well within range. Usually it's at 45%, 55%, but I haven't seen the numbers lately. So don't -- it will be skewed up like Obuasi clearly, and there are others that usually have that SKU of 45%, 55%, like most mines. So that will happen.
 In terms of cost even though we don't talk about it, but what I can mention is we will be on the lowest end of the guidance. And we know that because we already know our cost for Q1 and what I have said is that we basically are compensating all of the inflation, and the inflation is around 5%. So we made very good progress on cost. And this is both cash cost and all-in sustaining. Sorry? 
Tanya Jakusconek: Yes. You mentioned the inflation. So can you just tell me, are you seeing some relief and inflationary pressures or they've stopped going up. Some companies have said labor is flat. They've seen some relief in consumables. Can I ask where you operate? What are you seeing? Any ramp-up? 
Alberto Calderon: So we -- the labor is still there. And I would say it's on average about 5%. And this is the issue. In the developed world inflation is about maybe 4%, but in the developing world, it's higher. So on average, for us, what I can tell you that what we saw Q1 '24 versus Q1 '23, on average, it's about a 5% inflation.
 Now we are seeing relief on many fronts, I think, in commodities, there is relief and some are starting to go down, explosives. I think we will start seeing them come down if they haven't yet, but we expected that it will start going down. So I do think we are at the -- we're starting to see better sort of more encouraging signs with inflation. But the Q1 number is that I can tell you, I can quote and that is -- and I've seen several other results with sort of a similar number of around 5%. 
Tanya Jakusconek: Okay. And some companies on their calls have mentioned that cyanide prices are still sticky and line is still sticky. Is that what you're seeing as well? 
Alberto Calderon: Look, I think that most I don't know from memory the cyanide, Tanya, and we can get back to you on that. But I would think that reagents have come down and in other places like oil, we all know where oil is. Well, I think that in terms of commodities, we're in much better days, in terms of consumables in much better base. It is the wages, which is more than half of our costs that are still very sticky. That for me that's the main point. 
Tanya Jakusconek: Okay. And then lastly, just operationally, congrats on getting Brazil back with improvements there. I just wanted to make -- ask you if your strategy on still looking at the sale of some of the Brazilian assets that's still on or with this improvement, do you think that Brazil is a keeper now for in your portfolio? 
Stewart Bailey: Look, the Cuiaba asset is definitely a keeper, it's still a very high-grade ore bodies. Our COO, Richard, when he came back, he said, this should become a much stronger than appear to and our plans, not in the short term, but in the medium term for even higher production. So Cuiaba certainly performing very well and with very positive cash flows.
 Our issue with the other two assets was you really cannot sustain assets that we lose cash flow. And that was a thing of CdS. We just couldn't make it work. It's a difficult ore body. It's very small. It demanded a lot of attention. And so that was the right call to close it. There are some companies that are still looking at it. But at this stage, we haven't done care and maintenance, and we're okay. But if there's a company that we are at ease that it has the right sort of license to operate attitude and values, let's say, we will be happy to pass it along.
 Serra Grande, I have to tell you, Tanya, that the turnaround has been like a surprise, I thought that it was going to be good, but even a 40% increase in production, it's just quite extraordinary. So at this stage, it's fine, like in theory, 100,000-ounce, 80,000-ounce operations are should not be in the long run in our company like AngloGold. But right now, it doesn't bother us at all, we are not actively doing any process. The team has done a phenomenal job. And so right now, I'd probably would like to keep things as they are. But in the long run, it's just a size that it shouldn't belong in a company, but we would want assets probably at a minimum of [ 250 ] or something like that. 
Operator: At this time, we have no further questions. And I would like to hand the call back to Alberto Calderón for any closing comments. Please go ahead, sir. 
Alberto Calderon: Okay. Well, as always, thank you for your very comprehensive questions. We are -- let me just close by saying, for us, our guidance, our credibility, the fact that we are talking to all of you or most of you every 3 months is for us very, very important. And we are proud of the fact that we, for the third year in a row, we'll be able to keep our guidance on production on cash costs and also our all-in sustaining costs.
 We couldn't because of this -- this is the last quarter, we cannot -- we only presented production, we unfortunately couldn't talk more about our cost, which I would say was more sterling performance for the quarter. But I did sort of give some preview of what we are anticipating. And that, in the end, we expect you to see that we have significantly almost, as I said, between 70% and 90% close the cap in costs.
 If you remember, 3 years ago, it was location, primary listing and cost competitiveness that we set out to close. And we're quite happy with the progress. In the end, it all starts with operations, having the right people in the right place as we do now. The operators around the world or 30,000 people just do a sterling job. I always say that's the hardest job or one of the hardest operators, it's just a relentless daily battle that always starts with safety, but then you have faced all of the issues our people and operations are just performing very well. They're supported by very strong technical team. The full asset potential will talk much more in the half year and give you numbers, but it continues to progress significantly.
 And in similar levels, remember last year, it contributed about $300 million or something, $350 million on EBITDA, and there will be similar numbers on this year. So that is basically the reason why we can offset the inflation. That is still relatively high for us. So yes, steady as it goes. Thank you all again. 
Stewart Bailey: Thanks Alberto. Thank Irene. Thanks everybody. 
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for joining us. You may now disconnect your lines.